Operator: Good morning. Today is May 3, 2019. Welcome to the Toromont to announce the First Quarter 2019 Results Conference Call. Please be advised that this call is being recorded. Your host for today will be Mr. Paul R. Jewer. Please go ahead, Mr. Jewer.
Paul Jewer: Thank you, Valerie, and good morning, everyone. Thank you for joining us today to discuss the results of Toromont Industries Ltd. for the first quarter of 2019. Also on the call with me is Scott Medhurst, President and Chief Executive Officer. Before we continue, I'd like to advise listeners that this presentation may contain forward-looking statements and information that are subject to certain risks, uncertainties and assumptions. For a complete discussion of the factors, risks and uncertainties that may lead to actual results or events differing materially from those expected, refer to Toromont's press release and MD&A from yesterday, which is available on our website. We assume you've had an opportunity to review our press release and related financial information, and as such, we'll focus on key highlights. Scott will begin with a few general remarks and some comments on our outlook, after which I'll provide highlights of the financial results. Then we'll be more than happy to answer your questions. Scott?
Scott Medhurst: Thank you, Paul, and good morning, everyone. We delivered good results in the first quarter through operational improvements in the Equipment Group as we continued to align discipline and achieve efficiencies. Consolidated revenues increased 3% and translated to solid bottom line growth of 16% after adjusting for onetime curtailment gains as described in the financial statements. The growing proportion of product support and rental revenues contributed positively to this growth. In the Equipment Group, overall industry construction activity softened in the traditionally weak first quarter compared to stronger prior year deliveries in heavy and general construction. Despite the relatively slow start to the year in certain segments, we remain cautiously optimistic on the long-term outlook for infrastructure projects and other construction activity in the territory. The parts and service business continues to provide a measure of stability and opportunity for further growth. Our shops and technicians remain busy, and we continue to hire to support demand levels. The increased investment in rental fleets also continues to present opportunities to grow and stabilize seasonality. In the mining sector, production continues at existing mine sites, which is good for future product support business along with potential for incremental equipment sales to support growth and expansion. CIMCO continued to be challenged with effective project execution in a competitive market. However, product support growth continues. Good booking activity and backlog levels are positive signals for the remainder of the year. Across all of our businesses, the diversity of our geographical landscape and market served, extensive product and service offerings, together with our financial strength and a disciplined operating culture, position us well for continued success. I will now turn the call over to Paul to take you through highlights of the financial results. Paul?
Paul Jewer: Thanks, Scott. Let's put a little more color on the operating results starting with the Equipment Group. Revenues were up 3% in the quarter on higher product support and rental revenues. Total new and used equipment sales were down 7%. Sales in the mining markets were down 47% against a tough prior year comparative, which included the large deliveries. Construction sales were softer, as Scott noted, but we did see good growth in Québec Maritimes and Northern Ontario. Material handling and agricultural sales were also lower. Partially offsetting these decreases were strong electric and prime power activity in the power system sector. Rental revenues were up 14% with increases across most segments. Demand signals were strong, and we were adequately prepared with larger rebalanced fleets. Overall, the net rental fleet investment increased to $564 million at the end of March 2019. Product support revenues grew 10% on higher parts and service. Growth was good in construction and power systems but lower in mining, which included a good rebuild activity last year. Gross profit margins increased 30 basis points in the quarter. Higher product support margins and a favorable sales mix served to offset the effects of the tight pricing environment, which dampened equipment and rental margins. Selling and administrative expenses in the quarter were net of a nonrecurring curtailment described in the notes. Adjusted expenses were relatively in line but down 60 basis points as a percentage of revenues. Allowances for doubtful accounts and customer support costs were lower, while compensation, IT and travel expenses were higher. Adjusted operating income was up 15% on the higher revenues and margins together with a lower expense ratio. As a percentage of revenues, this adjusted operating income translated to an 80 basis point increase in the quarter versus last year. Bookings decreased 21% in the quarter as higher construction orders were more than offset by decreases in other segments. Backlogs of $395 million were 9% lower than this time last year; we expect substantially all of this backlog to be delivered this year. As you're aware, backlogs can vary significantly from period-to-period on large project activities, especially in mining and power, the timing of orders and deliveries and the availability of equipment from inventory and suppliers. Let's now turn to CIMCO. Revenues were up 4% in the quarter on strong product support growth. Package revenues were down 11% with decreases in both market segments in Canada and the U.S. The decrease in Canada was mainly experienced in Ontario with record results in the first quarter of last year. Product support revenues increased 22%, and we're at record levels for the first quarter. Gross profit margins decreased 520 basis points with pressures in both package and product support. CIMCO is experiencing some execution challenges, at least in part due to resources, which haven't kept pace with its recent growth trajectory. This is adversely impacting margins on package sales. For product support, margins were in line with expectations but down versus last year due to good project closeouts in Q1 of 2018. The growing proportion of product support revenues to total revenues continues to mitigate the impact of our margin compressions. Selling and administrative expenses were down 5% in the quarter and were 160 basis points lower as a percentage of revenues, principally due to lower allowances for doubtful accounts on improved aging. Operating income decreased 68% in the quarter, largely reflecting the margin pressure. Bookings were up 15% to $70 million. Recreational orders were higher in Canada and lower in the U.S., while industrial orders were higher in Canada and lower in the U.S. -- higher in the U.S. and lower in Canada. Backlogs of $150 million were down $7 million or 4% from the record levels at the end of March last year. We expect substantially all of this backlog to be delivered this year. On a consolidated basis, net earnings increased 28% to $39.3 million, and basic EPS was up 27% or $0.10 to $0.48 per share. At March 31, our overall financial position remained strong. That concludes our prepared remarks, and we'd be pleased to take your questions now. Valerie?
Operator: [Operator Instructions] Our first question is from Ms. Cherilyn Radbourne with TD Securities.
Cherilyn Radbourne: So it's always a bit difficult to get a read on market conditions in the first quarter, and this year, we obviously had a very late spring. So I was just hoping you could make a few comments as to how you're reading the demand signals for the balance of the year.
Scott Medhurst: Well, we never like to use weather as an excuse, Cherilyn, but the -- what we saw in the Q1 was softer industry activities, particularly in the heavy and general construction areas. And Québec held up actually fairly well when you look at it across our territories as did the Maritimes. It was mainly in the legacy territories where we saw this more dramatic change in the softening of activity. We're monitoring it closely, and we'll see how it plays out. I think there was some caution from contractors waiting on some clarity, and so we're just going to stay close to that.
Cherilyn Radbourne: And then can you just elaborate on some of the efficiencies you're achieving, which contributed to higher product support margins for the quarter in the Equipment Group?
Scott Medhurst: Yes. We were actually pleased with the team's execution on the product support side, and we saw continual increase in revenue streams consistently across the entire enterprise on the equipment side. What we were really pleased with was the utilization of our labor. I mean we saw some very strong increases in Québec. I think Québec labor was up 17%. That's a real shift. And I think it demonstrates the power of what the team is trying to accomplish here utilizing resources. So that's coming along, still a ways to go. And -- but we have a larger product support infrastructure to support some of these demand signals now. And so we're starting to execute, but this is work in progress.
Cherilyn Radbourne: And then, last one for me before I pass it over. The MD&A mentions both lower quoted margins and project execution as issues at CIMCO in terms of how the margins on package sales materialized. Can you just kind of indicate how much is attributable to each of those factors?
Paul Jewer: We don't have the capability to bifurcate that for you here this morning, Cherilyn. But I'd say, on average, as we look at the quoted margins, it's about 100 basis points we're basically looking at in terms of pressure that we're facing there.
Operator: Our next question is from Jacob Bout with CIBC.
Jacob Bout: So going back to the CIMCO, is any of the execution challenges due to some of the troublesome projects that you had in the past?
Paul Jewer: At a very immaterial level, very immaterial level. Largely, those are executed or in the final stages of execution. So it wouldn't be a material impact. But I think broadly what we're seeing is some pressure on technical staff and group of engineers, and as a consequence, we've encountered those execution issues.
Scott Medhurst: We're getting back to really focusing on our disciplines, breaking it down on even getting into our deal structure as well as how we're executing in the field. So we're breaking it in the components and approaching it that way.
Jacob Bout: And then, you didn't break out the Q1 results this morning. Maybe you can comment on the sales and margin performance you saw in the quarter.
Scott Medhurst: Well, in terms of QM, I think we're very pleased with the progress. The product support was very strong on a consolidated basis, both with parts sales and labor, which certainly contributes favorably to margin. We also -- the activity levels were stronger in Québec. And then on the rental side, we were extremely pleased with our full rental services model that we believe starting to take hold. I mean we had -- the team produced in Q1 rental revenue streams over 40%, which is terrific and demonstrates -- what the team did early last year was broadening those product lines to be able to participate much better over the 12-month period. So we were pleased we saw that now. With that, of course, this is a newer fleet, a newer, broader fleet and it takes time to really get the full impact of the rental model from a profitability perspective. It needs to mature. We had to invest heavily in infrastructure to support it. So actual fact, even though the revenue stream is a very pleasing highlight, there is pressure on the profitability because it takes times to mature.
Paul Jewer: One comment I'd like to make, Jacob, if I can is we certainly revamped the layout of the MD&A in the press release to focus now on the business segments versus QM versus legacy. We thought it was important over the course of the past year, just given that readers didn't have the opportunity to see true comparators based on a year-over-year basis, to basically break it out as to what we're seeing in terms of true organic growth versus what we have picked up as a consequence of that acquisition. So we've moved away from that as now. Q1 is truly the first quarter where we got a full comparator on a year-over-year basis. And the other factor that you have to recognize is as we've advanced in our stage of integration, we're basically losing identity to what was formerly just QM as we're recombining those elements with our individual business units like Battlefield and Toromont CAT and breaking it down into individual business groups as well within there. So we're moving to the new format, and this will be the format going forward.
Jacob Bout: Just to understand, though, if I heard you correctly, the softness that you're seeing is not in Q1; it's in -- more in your legacy business.
Scott Medhurst: Well, there was some -- it's more so in the legacy in terms of the industry activity is what we're seeing.
Paul Jewer: What we're seeing is more of the softness in Ontario versus softness in Québec, right? It's not a matter of -- anymore of legacy versus QM. But certainly as we look at those regions, we're certainly seeing those trends.
Jacob Bout: Last question. Net rental are adds of $44 million in the first quarter, how should we be thinking about this on a normalized run rate annually?
Paul Jewer: You should look at it as being reasonably on par to up a tick from last year basically. So last year, we had $155 million or so in net rental additions less proceeds on disposition. So I think that will be up a little bit this year to $160 million, $165 million, but that really depends on market conditions and opportunities to basically feed those investments.
Operator: Our next question is from Michael Doumet with Scotiabank.
Michael Doumet: So maybe a tough question to answer, but in your opinion, did the weather have a material impact to Q1 result? And should we expect the cold winter conditions as well as maybe the flooding in Québec to potentially soften Q2 results?
Scott Medhurst: I mean I struggle to comment on weather. We operate in Canada, so -- I just think what we saw in there was softening of activity, and as Paul pointed out, particularly in Ontario, I mean, was it weather related? I can't comment on that. I think, again, some of the industries were waiting on some clarity going forward, so we're monitoring it closely.
Michael Doumet: Maybe just flipping to product support; you had pretty strong growth there in the last couple of quarters, generally outpacing equipment sales maybe outside of Québec. To be fair, I mean product support has been quite impressive in the last several quarters. How should we think about the sustainability of the momentum there? And should we be considering an element of share growth as well?
Scott Medhurst: Well, from a strategic perspective, this is very much a focal area. We continue to break down our opportunities, and we're pleased with the execution. And I think what's really playing off is it's demonstrating some of the strength of our expansion here that we're leveraging the resources and getting better productivity. I mean you see that, that growth that the team executed in Québec in Maritimes, and that's being able to leverage some resources. And as well, we saw the nice growth in Ontario, Manitoba as well. So it's a good story across the enterprise and how the team is executing the product support business; we continue to hire, we continue to see demand signals. Our rebuild quoting, again, in the first quarter was quite strong, and the number of units that were going through rebuild doubled again in Ontario and Québec. So these are favorable numbers we're seeing so far.
Michael Doumet: No, fair enough. And maybe the Québec versus Ontario trend in the quarter where Québec outperformed on product support, is that something that we could reasonably see for some time?
Scott Medhurst: You have to execute. We were -- again, the team did a nice job. There's opportunity in there, both construction and mining, but you've got to go prove our value proposition, and that's what we're trying to do, and the team was able to do that in Q1.
Michael Doumet: And maybe one last before I turn it over; any way you can set a cadence expectations in terms of margin improvement at CIMCO?
Paul Jewer: It will be preliminary at this point of time to do that, Michael. And obviously, we need to focus on adjustments there and make sure that we've got the resources put in place to support the growth levels.
Operator: Our next question is from Yuri Lynk with Canaccord Genuity.
Yuri Lynk: Maybe I'll go at the construction equipment activity a different way. I thought it was interesting that you had the softness, but your bookings in the quarter were actually up 5%. So can you talk about some of the forward-looking indicators in construction specifically quoting in addition to the bookings and where you kind of saw that strength?
Scott Medhurst: Well, I'm careful with the word strength. It was the industry activity was softer, particularly in the general construction area. It was softer actually on the larger iron as well in terms of the activity and the quoting activity. The smaller products were holding up a little better. So it's traditionally a softer quarter. I mean you have to keep things in perspective. But it came off, and we're just trying to understand a few things and we're monitoring it closely. I wouldn't want to speculate right now in terms of what it looks like because it came off, and we'll see how things develop. The other thing that was -- continues to be very lumpy, you see the mining, right? We were fortunate; Q1 last year was some good deliveries in mining both in Québec and Ontario. And now we always say mining is very lumpy, well, it's amplified now, right, with the size of our mining group but you -- tough to repeat some of those deliveries quarter-after-quarter; that's just the reality of it.
Yuri Lynk: Just shifting to the rental strategy and maybe an update on some of the rates you're seeing both time utilization and financial, how that's been -- how those have been trending over the last couple of quarters.
Scott Medhurst: They were favorable. And again, nice improvement particularly in our QM on the -- so we increased the size of the fleet, broadened them and we got some nice uptake in some of the utilization factors that we monitor closely. So that's a positive. Overall, I mean we saw a nice -- some rental improvement in heavy rents as well as power on an enterprise-wide basis. So that's good, and we want to continue to execute in there.
Yuri Lynk: I'll squeeze a last one in for Paul. Can you just remind us on the ERP strategy going forward given you're running a mix of SAP and legacy systems right now?
Paul Jewer: So, as we said from the outset when we announced the acquisition, we felt that we would take the time and we'd take probably about 18 months to consider what the appropriate actions would be as we roll forward. So I'm relatively pleased with where we are today. So Battlefield was first out of the gate. They should be implementing their systems starting at the beginning of next month. So that's starting on that front. So we're quite pleased with the opportunities that are represented by it. We're in the final stages of looking at the larger cap business, and we believe we're well positioned to start to roll out our Toromont proprietary systems across the whole piece. So that will be done gradually, and we're really excited about the opportunity that lies ahead. At Toromont Material Handling, we're at earlier stages, and we basically have a sense of direction as to where we want to go, but we're currently in the planning stage.
Yuri Lynk: And Battlefield went on to your legacy system? Or...
Paul Jewer: Battlefield is about to go on our legacy systems.
Operator: Our next question is from Derek Spronck with RBC.
Derek Spronck: You mentioned on the Equipment Group a tighter -- or a tight pricing environment; was that due to competitive pressures or competitors utilizing pricing? Or was it more of a softer demand situation or some combination of both?
Scott Medhurst: It's a combination of all those factors you listed. When you get into some softer markets, the competitive environment tightens. We still are dealing with some Tier 3 carryover. So that causes some pressures in there. Hopefully, it will eventually wash itself out. So it's a combination of a lot of factors in there that we saw in Q1.
Derek Spronck: And how do you find that balance between competing on price and market share? How do you look at that, I mean?
Scott Medhurst: I mean, that's not a new phenomenon. We've been in this a while, and that's what you face; and so that's why you focus on your total value proposition in bringing a -- making a difference for a customer to help them succeed. And that's what we focus on with strong infrastructure in parts and service, getting into the assessments of how we break down this value proposition to the customer; that's what we do. And then we have to go in and execute.
Derek Spronck: With the increase in product support and service and the rental, does that put less pressure on you to push new iron into the field or -- at this point in the cycle?
Scott Medhurst: No. What that does is it brings a measure of stability. But listen, we're very focused on our market penetration.
Derek Spronck: And on the construction side, was there any particular subsector that saw more softness than others? Like was it more residential construction versus infrastructure? Or any color around the subsector. And then you mentioned that they were looking for clarity. What sort of clarity would that be? Is it just general underlying demand trends or specific project RFPs?
Scott Medhurst: Well, again, traditionally softer quarter, so -- but when you -- what we saw was general and heavy. And when you break down general and heavy, you're into site development, you're into road construction. So these are some of the areas that showed some softness. And in terms of, I think, contractors looking for clarity on some infrastructure projects, I mean, we saw some uptake in RPO levels as well, and that also can represent some caution out there when you shift some of the business to RPO in Q1. So we're monitoring things. There is softness, and we're working to gain greater clarity in there with our customers and the market.
Derek Spronck: And maybe one more for myself before I turn it over, and I'm assuming you probably have gotten this question many times over the years. But what is the benefit of having CIMCO as part of your overall business? And would you ever consider spinning that out?
Scott Medhurst: CIMCO is -- brings a model that we understand. It's large capital goods, design engineering component with a very strong product support factor in it. You can see we -- I mean the team produced over 20% growth on product support, been 8 consecutive years of product support growth. We understand that business. We like it. It's not capital intense. So it complements our businesses quite well.
Derek Spronck: Are there any other product segments outside of your current core portfolio that might be attractive to you in the future? Or...
Paul Jewer: Right now we're focused on what we have basically, right? So we're only 19 months post the largest acquisition in our history, and we're quite focused on the opportunities it presented to us as we continue the integration and achieving efficiencies and operating disciplines across that new business unit.
Operator: Our next question is from Devin Dodge with BMO Capital Markets.
Devin Dodge: So, the gain on the sale of rental dispositions as a percentage of book value, the equipment came in a fair bit lower in Q1 '19. Just wondering if this reflects some pressure on used equipment pricing or if this is indicative of holding on to rental assets longer than usual or this is just a blip and there really isn't anything to look into it. Just any color would be appreciated.
Scott Medhurst: Well, there's pressure in used sales right now. And I think that reflects some of the softening. And you had -- I mean when you see a dramatic shift in our mining numbers as well, I mean, mining used sales were down almost 50%. So that causes some shift in there. I mean it's nothing unusual we've seen before. I'm not sure, did I answer your question properly, Devin?
Devin Dodge: Yes. So I guess is this a trend that we should be expecting to continue? Like if we see -- if there is pressure on used equipment pricing, should we expect that to kind of carry over into the balance of 2019?
Scott Medhurst: You know, what -- again, we're trying to get a read here right now because there was softness in the industry. So I think it's a traditionally softer time of the year, but too early to speculate.
Paul Jewer: I mean, Devin, never take a trend out of 1 quarter. We always say that, right? So -- and Q1 is the -- traditionally the weakest quarter. So if you got small variability, it can cause larger variances if you look at it on a year-over-year basis. So I wouldn't get excited about anything that you focus on there.
Devin Dodge: Okay, got it. At it's Investor Day yesterday, CAT was highlighting the opportunity to further develop the services that augment the equipment offering. I think the scope here is pretty broad. I mean it covers everything from aftermarket parts and service to technology solutions. But can you talk about where you see the biggest opportunities in your business?
Scott Medhurst: Yes. So we're breaking down the product support opportunities. There's different areas you focus on in there. And then combined with our investments in technology complemented Caterpillar. Those are -- when you become complementary infrastructure, they're actually parts and service business but also becoming more of a solution provider with data analytics that we're very focused on that with Caterpillar.
Devin Dodge: And then maybe one last one for Paul; your stock price was up, I think, about 30% in Q1. How much of a drag did that have on stock-based comp in the quarter?
Paul Jewer: There's always puts and takes that we're dealing with, right? But we're dealing with $4 million to $5 million basically is to what I think as your mark-to-market is. You can pull that out. But again, I wouldn't get too focused. There's puts and takes that you're dealing with, and there are other puts for that take.
Operator: Our next question is from Ben Cherniavsky with Raymond James.
Ben Cherniavsky: Could you maybe just elaborate a little bit on what you're seeing like strategically with -- or maybe what you're thinking about the materials handling group? You -- I know it's still early innings, but how do you see that evolving? And then maybe also a comment on ag, where you've been out a little longer. But nothing new has, to my knowledge, been materialized in the last little while in terms of acquisitions or growth. So could you peel the onion back a little bit there?
Scott Medhurst: Sure, I'll start with material handling. So what we did strategically last year, material handling in our Québec operations was sort of intertwined with Toromont CAT. So we worked hard last year to extract that, and so it becomes a stand-alone and stand-alone throughout our territories, Manitoba, Ontario and Québec and to really isolate it so we can manage it more effectively, we believe. So that is pretty well done. We're pleased with the progress that's being made in there, Ben. Particularly on the sales side last year, there was some nice progress. Still a long ways to go. Great opportunity particularly in Ontario. Québec is more advanced in terms of the market presence. And we're starting to leverage more on a consolidated basis with product support strategy. So -- and as Paul said, we've got to get that system platform sorted out as well. We are very pleased with the progress last year in material handling and the progress on the market penetration, but still a long ways to go. But the big thing was extracting it out of Toromont CAT, so we think we can nicely and more effectively bring far more disciplines into the business model.
Ben Cherniavsky: Ag improved materially?
Scott Medhurst: Well, a little bit. We've got -- the key there is we've got to do more work, particularly in Ontario on the product support side. And I think that will produce some favorable outcomes. We're starting to learn a bit. We're broadening some lines in there as well with some larger material handling equipment. So there's some real nice opportunities in there. And we got to set ourselves up in a position to execute but pleased with the progress, particularly in 2018. In terms of ag, really proud of the team. Last year, they actually did a good job improving market penetration and revenue streams, improved the profitability, but still ways to go there. We are focused on executing our product support. The team has done a nice job embedding some good equipment populations, and now we've got to complement it and execute on the product support side. But in terms of acquisition, we're focused on what we have right now in that province. It's a big market in there; so that's what we're focused on.
Ben Cherniavsky: So steady as she goes in ag?
Scott Medhurst: Steady-ish -- well, I wouldn't say steady, we got to continue to accelerate.
Ben Cherniavsky: Right. Maybe your strategy is not changing any...
Scott Medhurst: We're focused on Manitoba.
Ben Cherniavsky: Okay. And just in forestry, I know not a huge market for you, but there has been a few changes there; CAT dropping a couple of products and Wajax taking on actual products and Tigercat and Nortrax picking on some of the [indiscernible] as well, so some of the shifting alignment of distribution rights. Does that have any impact on you at all? Is that -- do you see anything changing in that market?
Scott Medhurst: Well, there's been lots of change competitively, as you pointed out. So that's kind of interesting, and we're absorbing that. What we're -- I mean CAT made some strategic decisions last year. We're in discussions, I'll call it, to sort through our strategy, and that's where we are. We're assessing it. We're in the game. We have complementary products in that forestry segment, and we remain focused on supporting our customers in the forestry area.
Ben Cherniavsky: How much was it representative of the dealership business?
Scott Medhurst: Percentage, I don't have that on the top of my head. It's a small percentage.
Paul Jewer: Very small, 2%.
Scott Medhurst: See, that can become a cyclical environment as well, right, on that forestry market factors. I think that's been around 2% to below. So you can recircle with Paul on that if you'd like.
Ben Cherniavsky: Just maybe at a high level, my last question, I wonder, like it's been a while since we've seen a real recession and -- but I know you guys have lived through a few of them. What are some of your operating philosophies about how you might manage if this is maybe the beginning of a downturn? What do you guys typically do in those sorts of situations?
Scott Medhurst: Yes, we've been through a few. And the key there is managing your assets as best you can as well as really flattening in on your discretionary some expense levels in there while being attentive to your customers. I mean that's the key. And there is tough plans we try to execute in there in different phases if things like that develop.
Ben Cherniavsky: But typically I think I'm right in saying you have -- you don't really hang on to your technicians and you'll sort of ride it out?
Scott Medhurst: Yes. On the -- we've done that before because I mean we try to be very attentive to our skilled labor. As hard as it is at times with your productivity levels, when you come out of these, you can position yourself well, and we were fortunate to -- the team has proved they were able to do that historically. So those are key because sometimes, your product support holds up and you just got to hang on there and accept some of those productivity drags that develop from a cost perspective.
Paul Jewer: Ben, just to answer your question, the forestry is just over 1% of revenue last year. There you go.
Operator: [Operator Instructions] Our next question is from Maxim Sytchev with National Bank Financial.
Maxim Sytchev: Gentlemen, I think you called out Ontario, I don't want to say plateauing or I don't remember the exact adjective you used a couple of quarters ago. Is that what we're seeing now? Is there anything structural? I mean can you provide any commentary in terms of -- I mean like obviously we look at infra spending and so forth, which -- with the new government is moving to the right a little bit. Is that just that? Or is there something else going on in the market?
Scott Medhurst: Well, when you focus on those heavy and general construction segments, they are broken down. So there was softness throughout those areas. So part of it is infrastructure, site development. So we're trying to get a read on it. There -- hopefully, there's some more clarity coming in some of these areas. I don't know if you can say peak. I don't like using that word. That's a -- I think that's dangerous to speculate at that level. So I think we're just in a very stage of just monitoring and seeing how things develop here in Ontario.
Paul Jewer: And certainly, when it goes back to the commentary, Max, I think I remember the commentary you referred to. It certainly wasn't plateauing or anything of that nature. I think it was in the context of a discussion on the relative growth rates and the opportunities within Québec and Ontario. And we've talked about the level of uptick in infrastructure investment spending. We're certainly more mature in Ontario, right, having been heavily invested for a long period of time and continue that good levels versus Québec, which had been underserved for a period of time. And we're quite excited about the timing and opportunities that was represented by the increased investment level here.
Maxim Sytchev: And then can you kind of directionally suggest if we're seeing the same some sort of trends in Ontario that you experienced in Q1 kind of in Q2?
Paul Jewer: We'd comment on Q2 when we report on Q2.
Maxim Sytchev: And then a last question is in terms of the noncash working capital. There was quite a bit of a drag in Q1 versus last year. And Paul, can you maybe comment about how should we be thinking about this on a going forward basis?
Paul Jewer: Basically, we did see the inventory build that we had in the first quarter of this year versus last year. Remember that it was pretty tight in terms of supply that we had last year. So we're certainly monitoring it. We'll look at total working capital. I wouldn't get too excited about a one quarter change on a year-over-year basis.
Scott Medhurst: It's important, Max, I think, when we look at that comparative inventory, this was our first full year of planning. We sort of inherited, but we inherited it last year on inventory levels in Q1, in particular. So...
Paul Jewer: And order board.
Scott Medhurst: And the order boards, correct.
Operator: There are no further questions registered at this time. I would like to turn the meeting back over to you, Mr. Jewer.
Paul Jewer: Thank you, Valerie. Before concluding the call, I'd like to remind listeners that our Annual Meeting of Shareholders will be held today at 10 A.M. at the Toromont CAT facility in Pointe-Claire, Québec. The meeting will also be available live via audio webcast, which can be accessed at our website, toromont.com. [Foreign Language] Thank you. And that concludes our call for today.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.